Operator: Good afternoon, and welcome to ALFA's Second Quarter 2022 Earnings Conference Call. [Operator Instructions]. As a reminder, today's conference call is being recorded. Now I would like to turn the call over to Mr. Hernan Lozano, Vice President of Investor Relations. Please go ahead.
Hernan Lozano: Thank you, Hector. Good afternoon, everyone, and welcome to ALFA's second quarter 2022 earnings conference call. Additional details about our quarterly results can be found in our press release, which was distributed yesterday afternoon together with a summarized presentation. Both are available on our website in the Investor Relations section. Let me remind you that during this call, we will share forward-looking information and statements, which are based on variables and assumptions that are uncertain at this time. It is my pleasure to participate in today's call together with Eduardo Escalante, ALFA's CFO; Carlos Jimenez, ALFA's General Counsel; Roberto Olivares, Sigma's CFO; and representatives from each ALFA company. I will now turn the call over to Eduardo.
Eduardo Escalante: Thank you, Hernan. Good afternoon, everyone. I hope you and your loved ones have remained safe and healthy. Alfa had another strong quarter with exciting developments on the strategic front and better-than-expected financial results. Consolidated revenues grew 30% and EBITDA surged 42%, once again, led by outstanding results from Alpek. Our petrochemical business has effectively capitalized on higher-than-expected reference margins across key products as favorable industry conditions endure. Additionally, Alpek benefited from a 1-month contribution of the newly incorporated OCTAL business. However, on a consolidated basis, Alpek's EBITDA growth was partially offset by Axtel and Sigma to a lesser extent. Several headwinds have weighed on Axtel's results over the past quarters, mainly lower government segment sales, delays associated to the global semiconductor shortage and lower revenues from a large wholesale customer who filed for concurso mercantil. The Axtel team is undertaking extraordinary efforts to overcome these challenges and drive a turnaround in results. In June, the aforementioned concurso mercantil reached a resolution, which provides certainty going forward to all parties involved. Axtel play a key role as one of the main suppliers and shareholder, supporting the financing agreement required for this important process to move forward. Also, Axtel has been actively engaged to address lower government segment sales on multiple fronts, which include substantial changes to the organization as well as greater focus on the enterprise segment by accelerating its business line strategy to boost growth among others. We expect the sum of all these efforts to start gaining traction and be reflected in Axtel's results in the short term. It was encouraging to see quarter-on-quarter revenue growth in the enterprise segment and the infrastructure unit. Moreover, EBITDA appears to have reached bottom in the first half of 2022 and is expected to improve sequentially in the remainder of the year. I will now turn the call over to Roberto Olivares, Sigma's CFO, to discuss the company's second quarter results and progress on the strategic initiatives. Please, Roberto.
Roberto Olivares: Thank you, Eduardo, and good afternoon, everyone. On the business front, I would like to start with an overview of the operational and financial results, provide additional information regarding the revised guidance and comment on recent developments. Consolidated revenues were $1.87 billion, the highest we have reached in any quarter and was 10% above year-on-year, supported by higher average prices, up 5% when compared to second Q '21 amid the current inflationary environment and a strong demand for our products with volume 4% up year-on-year. These results were driven by double-digit growth in Mexico, the U.S. and Latin America and were partially offset by the decline in Europe due to lower volumes and FX fluctuations. Consolidated EBITDA was $172 million during the quarter. This represented a 7% sequential improvement given the pricing actions in Europe amid higher input costs as well as a strong performance in the Americas with the second highest quarterly EBITDA in Mexico and double-digit growth in the U.S. and Latin America. However, net results were 5% below year-on-year as European costs continue to rise, while pricing actions were mostly reflected towards the end of the quarter and fresh pork sales were below 2021 levels. The positive performance in the Americas as well as the significant progress made on pricing in order to overcome the inflationary pressures, particularly in Europe, point towards a more optimistic second half of the year. We will nonetheless continue to take pricing initiatives when required. As stated in our earnings release, given the input cost evolution during this quarter, we adjusted Sigma's annual EBITDA guidance to $700 million from the original EBITDA figure of $760 million. Revenue and CapEx guidance, however, remain unchanged. Moving on to growth initiatives. Our global presence in the entrepreneurial ecosystem was reinforced with the active involvement of 15 scouting partners located in the most important new business hubs around the world. More than 420 start-ups from 41 countries participated in the third edition of Tastech, Sigma's business accelerator that seeks to transform the food industry. 15 of these start-ups were invited to pitch their business plan and currently we're evaluating which businesses will be selected to conduct pilot testings around the world. On another topic, better balance our global plant-based brand is further expanding its presence across Spain, the U.S. and Mexico with a value proposition focused on taste, texture, nutrition and versatility. This quarter, we reached agreements to sell our Better Balance [indiscernible] at 3 retail chains in Spain, more than doubling the points of sales to over 600 locations. We continue conducting business with the financial discipline that has characterized us all these years, and we are committed to maintaining our investment-grade status throughout AlFA's unlocking value strategy. During the second quarter, net leverage was 2.5x, in line with our long-term target. This year, Fitch, Moody's and S&P review our ratings with S&P recently updating the outlook to positive from stable. As we mentioned in the earnings report, we advanced in our path towards becoming a more independent company. During the quarter, we integrated AlFA's Sigma's internal audit and legal departments. These activities were previously carried out by ALFA. In summary, we are encouraged by the process made by the Sigma team as we continue to take decisive actions in response to the evolving inflationary environment. And although there is still work to be done, we are confident that our flexibility and focus will allow us to overcome these challenges. Thank you for your attention. I will now turn the call back to Eduardo for additional comments and closing remarks.
Eduardo Escalante: Thank you, Roberto. Moving next to the strategic front. We remain fully committed to transferring value to our shareholders by following a balanced approach that includes dividend payments, share buybacks, improving credit metrics and our transformational efforts to address ALFA's conglomerate discount. We are pleased to report progress on all fronts. Year-to-date, ALFA has paid $196 million in cash dividends to its shareholders and repurchased 62 million shares worth about $43 million. In addition, better-than-expected results and financial discipline have contributed to strong credit metrics. ALFA posted a consolidated net leverage ratio of 2.3x at the close of the second quarter 2022. This figure is 9% lower year-over-year and represents the sixth consecutive quarter posting improvement even with the extraordinary CapEx deployed by Alpek to acquire OCTAL. Regarding our transformational efforts, I would like to focus on progress related to enhancing business independence and strengthening the individual businesses. The spin-off process is underway for Axtel to become the second independent ALFA subsidiary. This is yet another decisive step forward in ALFA's journey to reach its full value potential. For ALFA, the benefits are twofold. On the one hand, further simplification of the corporate structure, which in turn should contribute to reducing the conglomerate discount. On the other, an enhanced financial position as Alpek and Sigma, the 2 remaining subsidiaries have investment-grade credit ratings. We are following virtually the same structure and process implemented when we spun off Nemak in 2020. ALFA will create an entity called Controladora Axtel, transfer its entire share ownership in Axtel to Controladora Axtel and distribute 1 Controladora Axtel share to each ALFA share. Next steps include customary contractual and regulatory approvals to complete the spin-off as well as registration, listing and the distribution of shares of the new entity. Based on the timeline of our previous spin-off process, we expect Controladora Axtel to begin trading in the Mexican Bolsa before year-end. In accordance with IFRS, Axtel will be presented as discontinued operations for purposes of ALFA's consolidated financial statements beginning in the third quarter of this year. Once the spin-off is completed, ALFA will no longer have an equity ownership in Axtel. Instead, ALFA shareholders would gain full autonomy regarding their stake in Axtel, just like they did with Nemak. We believe the spin-off also marks a new era for Axtel with attractive prospects to maximize shareholder value. Axel's Board of Directors and management remain the same. And the company will continue getting all of ALFA's support to ensure a smooth transition. The spin-off provides the opportunity for Axtel's recently appointed CEO to drive the company's strategic agenda without the influence of ALFA's transformational process. As you may recall, Axtel's Board of Directors appointed Armando de la Pena as CEO effective May 1. Armando was CEO of Foodservice at Sigma and has held key roles at Alestra, Terza and ALFA Corporate throughout his 19-year career at ALFA. In terms of priorities, Armando has clearly stated his focus on aligning the organization to resume growth in both business units. From the financial standpoint, Axtel's top priority is to expand its average debt maturity by refinancing its 2024 senior notes. ALFA is working closely with the Axtel team in obtaining attractive bank loan alternatives. Let me underscore that Axtel's refinancing efforts are kicking off more than 2 years ahead of the bond's maturity in December 2024. I would also like to highlight the company's healthy cash balance of $87 million plus roughly $40 million in available committed credit lines. Most importantly, Axtel expects to generate positive free cash flow of $35 million during 2022, despite the temporary headwinds impacting results. It is also important to note that Fitch and Standard & Poor's stated their neutral view for Axtel following the spin-off announcement. We are confident that Axtel is in a strong position, supported by time, liquidity and cash generation to carry out a successful refinancing process in the short term. Moving on to strengthening the individual businesses. Alpek closed the previously announced OCTAL transaction ahead of schedule and assumed control of its operations beginning on June 1. This transformational acquisition expands Alpek's polyester product portfolio with PET sheet extend its geographic footprint and increase its PET raising capacity to serve growing customer needs. Alpek estimates an EBITDA contribution of $120 million from OCTAL during 2022, which is ahead of original expectations. Alpek raised its full year EBITDA guidance to a record $1.7 billion to reflect this as well as a strong year-to-date performance and a solid margin outlook. In turn, ALFA's consolidated EBITDA guidance was adjusted slightly to $2.28 billion. This new figure takes into consideration a higher guidance from Alpek, which is partially offset by a lower guidance from Sigma plus the accounting effect from Axtel being spun off and presented as a discounted operation in ALFA's consolidated financial statements beginning in the third quarter 2022. A final comment related to a meaningful development on the ESG front, as ALFA and its businesses strive to continuously integrate best practices that contribute towards creating a more sustainable future. We are very pleased to see Alpek become the first ALFA subsidiary to receive approval from the Science-Based Targets initiative for its greenhouse gas emission reduction targets. In closing, I want to thank every ALFA team member for their crucial role in achieving these good results. This concludes my remarks. We are now available to take your questions. Please, Hernan.
Operator: [Operator Instructions]. Your first question comes from the line of Rodolfo Ramos with Bradesco BBI.
Rodolfo Ramos: I have two, if I may. The first one is on ALFA on the spin-off of Axtel. I was wondering if you can clarify if you're still open to do any asset sales during this process? Or is this spin-off in more of a result of negotiation installing? That will be my first one.
Eduardo Escalante: Thank you, Rodolfo, for the question. As we have mentioned before, and it was also mentioned this morning in Axtel's conference, the negotiations with the interested investors in Axtel evolved towards co-investing in some of the most attractive business lines that Axtel has. So at this time, even in the previous weeks, we did not have any negotiations regarding any major asset sales in Axtel. Going forward, the optionality remains. However, it will be after we finalize this spin-off process, it will be a decision of the Controladora Axtel and the rest of the Axtel shareholders, it will not be a decision of ALFA itself anymore. That's where we stand today.
Rodolfo Ramos: And if I may have a follow-up here. So with this spin-off with the timeline that you set out in your presentation and the shares of the spin-off to be fully completed by year-end. I mean how do you think about the next piece of this unlocking value initiative with the potential listing spin-off of Alpek. I don't know if you can also -- I know that this is something that we've talked about in previous calls, but if you have any updates or additional color on what kind of tax liability you're looking at? You've seen the tax authorities in this administration have been quite hawkish. So just wanted to see how you think about timeline on Alpek and on the fiscal side, if it might even make sense or you wait until the next administration. Just wanted to get your thoughts there.
Eduardo Escalante: Sure, Rodolfo, let me address first the next steps, and then I will move into the tax topic. Regarding next steps, today, we are fully focused on successfully completing the Axtel spinoff. We are putting ALFA's efforts into making a successful -- helping Axtel to make a successful transition to be an independent company. No specific time has been set for any next step. We think, as I have mentioned before, that extraordinary results from Alpek provides significant flexibility to decide on the direction of the next step. We continue to be fully committed to maintaining a balanced approach on our capital allocation, balanced approach, meaning several fronts, dividends as well as buybacks and improved credit metrics in addition to the transformation initiatives as the one we are doing with Axtel. So today, we have really no further announcement to make. We will do so in due time. Let me move on to the tax liabilities issue. Regarding taxes, the spin-off of Axtel is considered like a sale of an asset for ALFA according to the Mexican tax code. There is no impact for Axtel itself. And in the case of ALFA, we estimated that the spin-off will result in a taxable loss, which will become the fair income tax asset. We have in ALFA historically been very conservative in our practices regarding taxes. So we feel confident, and we will follow the Mexican tax code and regulations in accordance to that practice.
Rodolfo Ramos: Thank you. Will you be taking any questions on Sigma later or?
Roberto Olivares: Yes, Rodolfo. We'll have a [indiscernible] on each of the companies later on.
Operator: Your next question comes from Vanessa Quiroga with Credit Suisse.
Vanessa Quiroga: It is about what you expect for corporate expenses given that Sigma has integrated most of its administrative needs inside Sigma. So what's the expectation for ALFA on this line? And the other question specifically about Sigma would be regarding the fresh pork sales, if sequentially you are seeing a normalization of the volumes or you're seeing further deterioration on a sequential basis?
Eduardo Escalante: Thank you, Vanessa, for the question. Yes, the reduction of corporate expenses is a very important part of our transformational efforts in ALFA in order to address the conglomerate discount. We have and will continue pushing towards a reduction. For this year, the corporate expenses are expected to be roughly 1/3 of the level that we had in 2019. So versus pre-pandemia levels, we will have a 2/3 reduction. As you mentioned, we have transferred significant functions directly to the subsidiaries in order for them to increase their autonomy and independence from ALFA. Regarding your question in Sigma, we can take the Sigma question in the Sigma section, Vanessa, if that's okay with you.
Vanessa Quiroga: Okay. Yes, no problem.
Operator: Your next question comes from Bernardo Malpica with Compass Group.
Bernardo Malpica: Thank you for the space for questions. My question is regarding the strategy of deleveraging the whole company at the holding level. With the exit of Axtel, is there a specific strategy you have right now in order to deleverage the company at a holding level? I mean maybe not giving a dividend. Is that a potential strategy? Or is it just not on the table and not something investors and management want? Just to understand a little bit of what is the new strategy to deleverage the holding debt.
Eduardo Escalante: Sure, Bernardo, and thanks for the question. We are looking at different alternatives still and having decided there's no decision on the path moving forward, but the idea is to continue among the other fronts to deleverage the holding company. We think the flexibility that we gained from Alpek's good results opened several avenues. One of them is, of course, to receive more dividends from Alpek in the rest of the year, this year. And if those dividends are approved before year-end, we plan to use those proceeds to reduce the debt at the holding level. We also have been doing, as I mentioned before, and are also looking at continue doing buybacks of our shares as long as the price of our shares continue to be so low, we think being significantly undervalued. So that is another possibility going forward. Again, it will depend on the amount of dividends if and when they are approved. We do not expect to pay any more dividends to ALFA shareholders this year after the $196 million that have already been paid.
Bernardo Malpica: Perfect. That is very helpful. Congrats on the results.
Operator: I'd like to turn the call back to Hernan Lozano.
Hernan Lozano: Thank you, Hector. We have a few questions coming in from our webcast -- our website. I'm going to group the questions that are related to what kind of support is ALFA willing to provide to Axtel in the refinancing process. They want us to clarify a little bit more on that. And even if ALFA would be willing to provide a guarantee on Axtel's refinancing efforts. Eduardo?
Eduardo Escalante: Sure. ALFA will continue fully supporting Axtel during this transition. We are and will continue working very closely with Axtel on the refinancing of the senior notes that are due in 2024. ALFA will not provide a guarantee. We have never provided a guarantee to any one of our subsidiaries, and we do not plan to do so in the future. Having said that, we feel that Axtel is in a very strong position to carry out the refinancing process. Again, we have ample time more than 2 years ahead of the maturity date in December of 2024. Axtel has a strong liquidity position. They have more than $87 million in cash on hand and also approximately $40 million in available credit lines. And in addition to that, and most importantly, they do expect to generate a positive cash flow of $35 million this year. So we think even though we'll be supporting Axtel in this effort, they are in a very strong position to obtain an attractive refinancing process through bank loans.
Hernan Lozano: Good. And I think that we can group the other set of questions coming in from the webcast that are related with Sigma's position in this process and the concern that Sigma could be over levered once Alpek is spun off.
Eduardo Escalante: What I can say regarding that is we are in ALFA fully committed first of all to maintain the investment-grade rating in the 3 companies in ALFA as well as in Alpek and Sigma. We will never propose to move in an initiative that puts a lot of pressure into any one of those companies. Today, they have a strong balance sheet, and we plan to maintain that position in every company. So the Sigma situation today, which was already presented by Roberto, that, of course, is being taken into consideration regarding the path forward in the unlocking value process for ALFA.
Hernan Lozano: Thank you. So that's all of our questions for ALFA. We will then take questions on Sigma. Roberto Olivares, Sigma's CFO, will answer your questions. Hector, could you please prompt for questions on Sigma?
Operator: [Operator Instructions]. Our first question comes from Alejandra Obregon with Morgan Stanley.
Alejandra Obregon: I actually have two. The first one is, if you can talk a little bit about how you feel about your price elasticities in the different segments and regions that you operate in? And then the second question is it's really about your guidance and what type of volume and pricing assumptions are you baking in for the remainder of the year, especially in Europe? That would be very helpful.
Roberto Olivares: Alejandra, thank you for your questions. The first one about price elasticity in the different regions. Let me start by saying that we experienced during the second quarter demand growth. As I mentioned, volume increased 4%, and this accounts for the negative impact of volume in the fresh meat business in Europe despite the higher average prices that in local currencies were about almost double digits, they were 9%. So if you see region by region, Mexico, we increased volume close to mid-single digits, 6% with prices increasing 10%. We still see particularly recovering from the convenience in the foodservice channels in Mexico as well as the traditional channel performing above our average. If you see in the case of the U.S., we increased prices versus last year, around 15%. And despite that, volume grew during the quarter, 5%. Here, particularly, we have seen growth in our BAR-S brand, particularly in the products where we have a very good representation in the market, hot dogs and bulks that are similar. In regards to Latin America, volume increased around 10%. This was mainly due to the pickup of the foodservice channel. If you see some countries like the Dominican Republic, Peru and Ecuador growing double digit because of that and despite, again, higher average prices of around 10% versus last year. And lastly, Europe, you see volume overall decreasing. But again, if you remove the part of fresh meats, volume actually increased low single digits despite the 7% higher prices. And as I mentioned, most of these prices were reflected towards the end of the quarter. So on running rate, it will be higher. Let me move to the assumption that we bid on guidance on volume and pricing for Europe. In regards to pricing, we, as I mentioned, already implemented during the quarter, price increases that, as of the second quarter were 7% above last year. There's still some price increases that will be reflected starting from the third quarter, we have a price increase where we index the cost of meat to the price in the case of France. And there's also a couple of other price increases in particular countries in Europe for the second half of the year. We see volume continue performing as expected and as has been doing during the first half of the year. And obviously, we see, as I stated in our earnings release, we see that the Americas will perform as they have done during the first half of the year better than that was previously expected.
Operator: Your next question comes from Vanessa Quiroga with Credit Suisse.
Vanessa Quiroga: Just going back to my question about the sequential evolution that we've seen in fresh pork sales.
Roberto Olivares: Thank you, Vanessa. So given the seasonality that we have particularly in that business, we have to look or make the comparison quarter-by-quarter. If you see during first Q '22, volume was 20% below first Q '21. During second Q '22, volume is still below, but it's half of that is below 11% versus second Q '21. So if you see we're improving in regard to volume, there's still things to be done. We have been working at trying to grow sales of retail in the retail channel, and we have grown those in the second quarter, 7% when you compare it to last to last year. We also have increased our sales to other countries. For example, we have been doubling sales to the Philippines and South Korea and also develop new markets. We are exporting now to Mexico and also to some countries in Africa. We also formed a new team to focus on byproduct sales. Most of the product that was exported to China were byproducts. So these are not main cuts. So we now have a team that is focused on allocating those volumes into other places, targeting new markets and developing value-added solutions. And also, we have been working that is more on the line on profitability, but working on cost and expense saving initiatives. We mentioned this last time. We reduced the number of days our plan to operate to save on labor and energy costs as well.
Vanessa Quiroga: Great. Great. That's very clear and helpful. Taking the opportunity, given the recent downward move in some commodity prices like grains, when do you expect this could reflect on the mix that you buy? And how do you think the pricing could behave in the short and medium term, given these recent move?
Roberto Olivares: Yes, as you mentioned, we think corn, both the commodities have trended downward recently, still at a higher price than last year, but they come down from its peak. How do you reflect those feed cost into the production and ultimately to the price of the pork? It takes some time. As you know, the cycle of the pork is between 4 months to 5 months from when it's harvested. So there's still some time to be able to see those benefits. I will also just mention that currently, during the summer, there's a seasonality effect that twice as usual when the summer are a little bit higher because of lower weight due to the heat. And as you know, right now, there's a heat wave in Europe that is impacting most of the countries. We do expect that prices will trend a little bit downward by the end of the year. But there will be still a lot of volatility, no.
Operator: Your next question comes from Rodolfo Ramos with Bradesco BBI.
Rodolfo Ramos: Just a couple of questions here on my side. You mentioned during your initial remarks that you're integrating some of the internal processes. You talked about the audit team. Just wanted to understand is the, let's say, the process at Sigma will be following similar to what the other subsidiaries have done? Or is it something that Sigma will, let's say, assume whatever is left behind from the other subsidiaries? Just want to understand that internalization process a little bit better.
Roberto Olivares: Okay. So thank you, Rodolfo. So let me just start by saying that all of the ALFA's companies, and particularly, I want to talk about Sigma. We were very independent even before this strategy that ALFA is performing. We do have all of our management but for some particular services that it did make sense to consolidate it at an ALFA level. One of them, for example, was the legal counsel, internal audit, some support into long-term financing, et cetera. Insurance, there were a couple of those. So what we have been doing in Sigma, we have been as part of the process becoming more independent, bringing some of these services into the company. But what I can tell you is it will be just to minor or marginal adds to our headcount due to that we were already very independent, no.
Rodolfo Ramos: And just a last one on EBITDA for Europe. I mean, when you look at your consolidated guidance for EBITDA for the rest of the year, it's expected to be mostly stable quarter-on-quarter. So I just wanted to get a sense of when you expect to reach previous profitability levels in Europe, whether it's continued pricing increases or like share some of the strategies that you expect there.
Roberto Olivares: So yes, I mean, what is happening in Europe, we view this as obviously very unfortunate but also a temporary effect now. And we are working on mitigating the impacts and go back on track to our original target of EBITDA margin in the region that we have stated previously. And to be honest, if anything, our strategy even becomes more valuable or relevant right now. If you remember, we're working on 3 levers, the first one is our footprint optimization. This is increasing the efficiency in our operations with the situation that we are living right now is, again, is even more relevant. I just mentioned an example of what we're doing in [indiscernible] in ways to increase our efficiency. The second lever is the high potential opportunities, and this is capturing new sources of revenue within each particular country. And the third one about our international business unit is focused on high-margin market segments in 4 countries to promote and sell our European heritage products. So I mean to sum up, we think the strategy is the same. We're very confident that, that strategy is going to help us reach our target and is becoming more relevant and we're more focused right now to perform it.
Operator: Your next question comes from Bernardo Malpica with Compass Group.
Bernardo Malpica: My main question was just answered right now. But I did have another question. I mean, I understand the results in Europe have been tougher than expected. I mean the volatility, inflation and all has been an obstacle. But I just want to understand, in the other regions, have the results been better than you expected? And like in what range have they been better than what you expected? Or I mean they have been in line, just to understand a little bit more than the other regions.
Roberto Olivares: Thank you, Bernardo. So yes, in all the other 3 regions, the U.S., Mexico and Latin America, we have been performing better than expected. In the case, for example, a lot has to do with volume, I will say, despite the price increases, volume has been very solid. So we definitely think that, that is a very good sign. In the case of Mexico and Latin America, foodservice volume has been stronger than we have expected. If you see the hotel occupancy numbers, I mean, in the tourist places in Mexico, they are back to pre-pandemic levels. If you see also the numbers in Latin America, for example, in Peru, again, back to pre-pandemic levels. So that is one of the levers that is helping us to achieve better results. Also, I will say the lower elasticity that we have in the core categories, given the price increases, that also has helped us to have these results.
Bernardo Malpica: Perfect. Just one more question. Just could you remind us what was the target regarding EBITDA margin expansion in Europe? I mean I understand it's going to take a bit more than expected. But what was the target, if you could remind us?
Roberto Olivares: Sure, Bernardo. Target was to reach double digits by 2025.
Operator: I'd now like to turn the call over back to Hernan Lozano.
A - Hernan Lozano: Thank you, Hector. And we have a couple of questions coming in via our webcast also for Sigma. And the first one is related to Europe, Roberto, if you could please elaborate on your expectations for improvement or potential improvement in Europe for the rest of 2022? What is your outlook in that regard?
A - Roberto Olivares: Thank you, Hernan. So as I mentioned, most of the prices that we reflected during the quarter were reflected almost at the end of the quarter. So we do expect better pricing in the coming months also coming from additional price increases, one particularly in France that it will mitigate most of the or all of the meat inflation and a couple of more that has been scheduled in certain countries through the second half of the year. There's still some volatility, particularly in the energy segment. Energy, particularly gas and electricity has been very reactive to the situation that is developing in Russia and Ukraine. So we do expect to continue having some noise there. But most of what we see will come from price now.
A - Hernan Lozano: And the other question is related to pork prices. So the outlook on pork prices, and there was also a mention on recent ESG measures impacting cattle prices in the Netherlands and whether that could also impact pork prices in other parts of Europe. If you have any additional color on that, that would be great.
A - Roberto Olivares: Sure. So we're used to having these type of news or, let me say, potential changes in regulations and Europe is probably the one that is most advanced in that sense. If you see how in general cattle and pork and poultry is farm and racing in Europe is very different to the other regions. I will say most of the industry is moving towards becoming more ESG friendly. And we have been working a lot with our suppliers in order to comply, obviously, with all regulations, but also to be on the front of many of these issues,
A - Hernan Lozano: Great. Thank you very much. And with that, we will now move forward and take questions on Alpek and Axtel. From Alpek, we have Jose Carlos Pons, CFO; and from Axtel, we have Adrian de los Santos, CFO. Hector, could you please prompt for questions on Alpek and Axtel?
Operator: Absolutely. [Operator Instructions].
A - Hernan Lozano: Actually, while we get questions on the line, in case there are any, we have a couple coming in from our webcast. And the first one would be for Alpek, Jose Carlos, the question is whether you could give additional color on a potential special dividend from Alpek in the rest of this year.
A - José Carlos: Thank you, Hernan. Well, that is a question that we also addressed in our conference call and what we indicated there is that there's likelihood that there could be an additional dividend in the second half of the year. It's a conversation we will propose to the Board of course in the same period that I already mentioned. And especially considering the results that we have, the current leverage that we have at 1.2x net debt to EBITDA, I would say that it's likely, but it's not decided yet.
A - Hernan Lozano: And the next question would be for Axtel. Adrian, the question is whether you could repeat the forecast for Axtel's 2022 results, please?
A - Adrian de los Santos: Yes. Thank you, Hernan. The EBITDA for the year will be MXN3,300 million, That's approximately $158 million, EBITDA margin, 29% to 30%. CapEx, as we see investments in the second semester and related to expected revenues in the range of USD70 million to USD80 million and free cash flow for the full year of $35 million approximately.
A - Hernan Lozano: Thank you, Adrian. Hector, do we have any questions coming in from the line? That's all from the webcast.
Operator: No questions over the telephone line at this time.
End of Q&A:
Hernan Lozano: Okay. In that case, I would like to thank everyone very much for their interest in ALFA. And if you have any additional questions, please feel free to reach out to us. We would be pleased to assist you. And we also extend our best wishes to you and your families to stay safe and healthy. Thank you for joining us today, and have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you all for your participation.